Operator: Good day, and welcome to the PetIQ, Inc.'s Fourth Quarter and Full Year 2023 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note that this event is being recorded. I would now like to turn the conference over to Katie Turner, Investor Relations. Please go ahead.
Katie Turner: Good afternoon. Thank you for joining us on PetIQ's fourth quarter and full year 2023 earnings conference call and webcast. For today's prepared remarks, we'll hear from Cord Christensen, Chief Executive Officer; and Zvi Glasman, Chief Financial Officer. Before we begin, please remember that during the course of this call, management may make forward-looking statements within the meaning of the Federal Securities laws. These statements are based on management's current expectations and beliefs and involve risks and uncertainties that could differ materially from actual events or those described in these forward-looking statements. Please refer to the company's Annual Report on Form 10-K and other reports filed from time to time with the Securities and Exchange Commission and the company's press release issued today for a detailed discussion of the risks that could cause actual results to differ materially from those expressed or implied in any forward-looking statements made today. Please note on today's call, management will refer to certain non-GAAP financial measures. While the company believes these non-GAAP financial measures will provide useful information for investors, the presentation of this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with GAAP. Please refer to today's release for definitions and a reconciliation of non-GAAP financial measures to the most comparable measures prepared in accordance with GAAP. And in addition, please reference PetIQ's investor website for a supplemental presentation. And with that, I'd like to turn the call over to Cord Christensen.
McCord Christensen: Thank you, Katie, and good afternoon, everyone. We appreciate you joining us today to discuss our better-than-expected fourth quarter and full year 2023 financial results. I'll begin with an overview of key highlights, then Zvi will review our financial results for the quarter and outlook. Finally, Zvi, Michael, John and I will be available to answer questions. The team started 2023 with the goal of generating a little over $1 billion in net sales and adjusted EBITDA of $89 million based on the midpoints of our guidance. I'm proud to report that after consistently exceeding our expectations, quarter after quarter in 2023, we finished the year significantly better than we anticipated. When compared to the prior year, our 2023 net sales increased 20% to a record $1.1 billion and our adjusted EBITDA increased approximately 35% to $105 million. Our stronger-than-expected 2023 net sales led to favorable leverage of our costs and expenses and strong profit contribution, which helped fuel record annual cash from operations of $61.9 million and free cash flow of $52.7 million, much higher than the $30 million to $40 million we projected. And finally, our net leverage was a record low 2.9 times as of December 31, 2023. Looking to our total growth in 2023, I'd like to emphasize the power of the Product segments and most importantly, PetIQ's portfolio brands. As we've discussed in the last few quarters, when you look at all sales channels combined for 2023, we had one of the strongest seasons in the last 10 years for the over the counter flea and tick category. For 2023, Product segment net sales were $968.2 million, an increase of 21% compared to 2022. And more, even impressive are the net sales of PetIQ's brands, which increased 28% and exceeded our growth expectations for the year. These results demonstrate the strength in the planning and execution of our entire team. We are building significant brands in the pet categories that are growing online and at brick-and-mortar retail, while capturing disproportionate amount of market share. Across our PetIQ manufacturer brand, we continue to see great returns on our enhanced advertising and promotional efforts as evidenced by our growth recall. We told you that we plan to spend more on marketing in the second half of 2023. Our marketing budget for 2023 was $40 million. Midway through the year, we communicated that we would spend an incremental $4 million on marketing, $3 million of which we recorded in Q4 of 2023. So in total, for 2023, we spent $44 million to support our brands. We expect this investment to have a longer-term payback for our brands beginning in 2024. Included our 2024 adjusted evidence guidance, which Zvi will review is an incremental $12 million of market expense, this is on top of the $44 million that we spent in 2023. $6 million of this we told you on our last earnings call will be funded by the savings from the Services segment optimization and the remaining $6 million we expect to fund from cash from operations. Our team will continue to lean into prioritizing investments and initiatives that we expect to support the long-term success of our brands. We expect these efforts to drive outpace growth in the coming year and beyond. Now I'd like to discuss our product segment in more detail. For Q4 of 2023, the Product segment contributed net sales of $191.3 million, an increase of 22% compared to the prior year period. The growth in Q4 of this year was broad-based across all product categories. In the fourth quarter of 2023, the flea and tick category grew at a positive 13.2% and PetIQ's brands increased 28.2%. PetIQ's portfolio brands continued to capture a disproportionate amount of the growth online and dramatically outperformed the broader category as evidenced by our market share results. For the 12 weeks ended December 30, 2023, PetIQ's over-the-counter flea and tick brands captured 17.5% of the category dollars, which is an increase of 205 basis points versus the prior year period. Most of this share growth was driven by gaining unit share as we picked up 190 basis for the quarter. The Pet Supplement category also maintained its growth trajectory in the quarter, gaining 14.4% over the prior year period. This fast-growing category has now more than doubled over the last four years and has surpassed the over-the-counter flea and tick category. Pet supplements now represent the largest category that we compete in. Our pet supplement products continue to see accelerated consumption and growth in the fourth quarter of 2023, where our offerings in this space grew plus 23.5% compared to the prior year period. Our strong household penetration trends, along with expanded need states in the pet supplement category, give us confidence that these double-digit growth rates should continue for many years to come and PetIQ is positioned very well to continue to gain share in this important category. Recently we've completed tests for a premium supplement offering under the Rocco & Roxie brand and are excited about a full product launch at the end of Q1. We look forward to providing you more details on the product performance in the coming months. In addition, our pet dental and treat offerings outperformed the catering in Q4. The Minties and Pur Luv brands both grew at two times the category, leading to meaningful share gains. The Minties brand grew plus 36% and gained 61 basis points of share in the dental treats category. The Pur Luv treat brand also continued to gain momentum as it posted outstanding growth of 184% in Q4 versus a year ago. The newest brand in our product portfolio, Rocco & Roxie, grew at a positive 21.2% (ph) for the fourth quarter of 2023, also well ahead of our projections. Remember, we exited several non-core Rocco & Roxie offerings in the first half of 2023 that we determined were not a strategic fit for us. And yet, our team has executed well and we are very pleased to have grown the base business better than expected for the quarter and full year. Our core Rocco & Roxie products are focused on the premium pet and Stain & Odor category and pet parents continue to look to Rocco & Roxie for their Stain & Odor needs in Q4. We believe the Rocco & Roxie brand can expand its growth in other premium categories like supplements and treats. We are very encouraged about the brand's success thus far. For 2024, we are excited about increasing distribution of Rocco & Roxie's premium pet offerings as we increase advertising and promotional investments to build brand awareness and consumption over the next several years. Now focusing on the Services segment. On an annual basis, in 2023, the Services segment net revenue increased 10.4% to $133.8 million compared to 2022. And for Q4, the Services segment net revenue was $28.6 million, an increase of approximately 7% compared to the prior year period. The segment gross profit dollars and margin showing decreases due to our optimization efforts. We closed 149 wellness centers in the second half of 2024, this includes 45 wellness centers in Q3 and the remaining 104 in Q4 to improve future profitability. We ended 2023 with 133 wellness centers in operation. We believe this is the right decision for our total business. Our optimizations have helped us to better align our investments in the areas of our business where we expect to achieve the highest rate of return. Our collaboration with an existing retail partner on a new pilot wellness center offering continues to go well. We offer a variety of pet services, including veterinarian services as well as grooming and hygiene care. We are testing and learning together and remain optimistic about the options for this format in 2024. In closing, I'd like to thank our PetIQ employees located in our headquarters, our facilities in Omaha, Springville and Daytona, and everyone in the 39 states offering our veterinarian services that always help us to achieve our strong annual results. Your commitment to our mission and core values creates our strong culture for success. With your consistent work and dedication, we are well positioned in 2024 and beyond to capitalize on the robust pet industry tailwinds and provide smarter, more convenient access to affordable pet health and wellness products and veterinarian services. With that overview, I'd like to now turn the call over to Zvi.
Zvi Glasman: Thank you, Cord. We are very pleased with the company's strong finish to 2023. Our team capitalized on our opportunities for growth as evidenced by the strong growth in our PetIQ brand portfolio and we took important strategic steps in the second half of the year to increase operating efficiencies and make planned marketing investments to fuel our growth and success into 2024 and beyond. I will now discuss our quarterly financials in more detail and finish with reviewing our first quarter and full-year 2024 guidance. We've reported record Q4 net sales of $219.9 million, an increase of 19.5% compared to Q4 of last year, driven by an increase in sales from both the Products and Services segments as well as the addition of Rocco & Roxie. As Cord mentioned, we had strong broad-based growth across sales channels and product categories. Adjusted gross profit for the fourth quarter of 2023 was $45.6 million and adjusted gross margin was 20.7%. Our adjusted gross profit included a drag of approximately $1.2 million or 60 basis points from our Services segment optimization and the related cost inefficiencies that we did not adjust for in the quarter. If you take this into account, our fourth quarter 2023 adjusted gross margin would be essentially flat compared to the prior year period at 21.3%. Q4 adjusted SG&A was $40.6 million compared to $34.7 million in Q4 last year. As a percentage of net sales, adjusted SG&A was 18.5%, a decrease of 40 basis points compared to the prior year period. This improvement was primarily as a result of continued leverage of costs and increased business expense efficiencies relative to the growth in net sales partially offset by incremental and planned marketing expense of approximately $3 million to support the long-term health of our manufactured brand portfolio. Total restructuring and related charges attributable to the Services segment optimization were $5.1 million for the fourth quarter of 2023, $1.6 million of which were cash charges, so the majority of the restructuring was non-cash in the quarter. We included a financial table in today's press release to provide you with the components of expenses included in restructuring and cost of services for modeling purposes. We currently expect our cash costs associated with the services optimization to be less than $5 million below the initial expectations we provided last quarter of over $6 million. Adjusted EBITDA for the fourth quarter of 2023 was $12 million. This exceeded our implied guidance of $6.2 million to $10.2 million for the quarter. Adjusted EBITDA for the fourth quarter of 2023 also includes the approximately $3 million of incremental and planned marketing expense I mentioned prior. Turning to our balance sheet and liquidity. The company ended Q4 with total cash and cash equivalents of $116.4 million. The company generated a record $61.9 million of cash from operations for 2023. And we generated the highest free cash flow in the company's history of $52.7 million well in excess of our initial expectations of $30 million to $40 million. For 2024, we expect to generate annual free cash flow in excess of $45 million. The company's total debt which is comprised of its term loan, ABL, convertible debt and capital leases, was $445.2 million as of December 31, 2023. In addition to our cash on hand, the company's $125 million ABL is undrawn. Total liquidity, which we define as cash on hand plus debt availability was $241.4 million as of December 31, 2023. While we have no intention of making additional borrowings, we would note that our liquidity is ample and our credit facilities are flexible. Our net leverage, as calculated under terms of our credit facilities at the end of 2023, was a record low, 2.9 times, much better than our expectation for 2023. Our net leverage, as calculated under terms or accredited facilities at the end of 2023, was a record low, 2.9 times, much better than our expectations for 2023, and net leverage improved from 3.7 times in 2022. Looking ahead, keep in mind, Q1 is always our highest leverage quarter of the year. So for Q1 of 2024, you will see our net leverage increase a bit due to seasonal changes in working capital, primarily potential timing of increased inventory to position us well for the flea and tick season. However, on a year-over-year basis, we expect an improvement in our net leverage ratio relative to Q1 of last year. Now, turning to our guidance. As stated in today's earnings release, our 2024 full year and first quarter 2024 outlook is inclusive of the Services segment optimization, the expected sale of the company's foreign subsidiary Mark & Chappell, and a return to a more normal flea and tick season as compared to the record seasonal patterns experienced in 2023. These three items total approximately $52 million in net sales and $8 million of adjusted EBITDA on an annual basis. If you take these into account, our growth in 2024 would be significantly higher or represent a net sales increase of approximately 10% and an adjusted EBITDA increase of approximately 15% as compared to 2023. We have broken these variables out for reference in the outlook section of today's earnings presentation posted on the Investors section of our website. Inclusive of the variables I just mentioned, we expect 2024 net sales of $1,130 million to 1,180 million, an increase of approximately 5% based on the midpoint. An adjusted EBITDA of $109 million to $114 million, an increase of approximately 6.5% based on the midpoint, which includes the step up in marketing expense Cord mentioned. For the first quarter of 2024, we expect net sales of $290 million to $310 million, an increase of approximately 3% based on the midpoint. Adjusted EBITDA of $31 million to $33 million, an increase of approximately 4.5% based on the midpoint. As noted in today's release, we expect our annual net sales to be weighted to the first half of 2024 with approximately 56% of our projected annual net sales recorded in this period versus 55% in 2023. Annual seasonality can vary based on the timing of shipments, promotional activity, product launches and a number of other factors. Additionally, for modeling purposes, we wanted to mention that going forward, our share count will vary during the course of the year due to the accounting rules regarding the company's convertible notes. This will depend on a number of factors, including quarterly earnings. For certain quarters in 2024, the share count will increase by approximately 4.8 million shares and our diluted EPS will be calculated on the same basis. Importantly, we currently have no intention of satisfying our convertible note obligation with shares but are required to report the company's share count based on the theoretical increase. In closing, we reported strong record 2023 financial results. Our team continues to execute well and deliver on our strategic initiatives to fuel growth and increase operating efficiencies. For 2024, we expect to increase value for all stakeholders as we deliver on our mission of smarter, convenient and affordable pet health and wellness for parents. That concludes my financial review. Cord, Michael, John and I are now available for your questions. Operator?
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Rupesh Parikh with Oppenheimer. Please go ahead.
Rupesh Parikh: Good afternoon. Thanks for taking my question and also congrats on a strong end to the year. So maybe just starting out with guidance. We'd just love to hear as you look at the guidance range where you see sources of upside and at the same time, where do you see the biggest risk in achieving the guidance range?
McCord Christensen: Yeah. Thanks, Rupesh, and thanks for the comment on the year. We did have a great year and appreciate the question. Obviously, we talked about the $52 million that we discussed and it's easy to see if we sell off M&C and we had the stores that we closed, that's easy. The flea and tick season, which we talked about year, how great it was. We always budget at an average rate. And so as we get into the season and we start to see the weather, it's a big source of upside for the company and for the business. We had a really strong last year which led to a really strong retailer reception of our products and our promotions and placement. And once we see consumption, that's the source of upside. The very same items are the opposite, right? So we've been very good at capturing where we think we are. And when things go better than expected, it is much stronger. So I don't know, Michael, anything else you want to add to that?
Michael Smith: No, Rupesh. This is Michael. I think Cord said it well. Weather and the quality of the flea and tick seasons, the greatest variable, we have to both the upside or the downside. And again, we kind of shooting it down the middle of the fairway for expectations that are built into the guidance. We do have a couple meaningful launches this year, specifically our Rocco & Roxie supplement line, which we're just assuming we carve out a relatively small piece of the premium supplement pie with that launch. But we are very encouraged by very early testing and reads. That would be one area that we could see some meaningful upside as that launch plays out in the back half of the year. But those are probably the biggest variables that we see coming up in '24.
Rupesh Parikh: Great. And then maybe just one follow-up question. So, as we -- I know there's some noise with gross margins in Q4, and it was very helpful to get an explanation there in terms of what the adjusted gross margins are. But is there any guidance you can provide in terms of how to think about it for '24 and I don't know if there's a way to think about product versus service as well.
McCord Christensen: Yeah. This is me, Cord, if that's okay. We think we have 50 basis -- 50 basis plus of margin upside next year, and as we think about it, what we control is our manufactured products and their growth rates and they’ve had exceptional growth this year and we exception next year as well. So as you think about why our margin percentage could be lower, original margin percentage would be lower, is it distributed exceeds our expectations and delivers more margin dollars. And in that case, we'd have a lower gross margin percentage, but we'd all be happy because a higher gross margin dollars we'd have, and conversely, or in addition, we would have a higher EBITDA dollars. So that's how we think about it. And I don't -- I mean, it's hard to imagine doing much better than we've been doing the last several years in manufacturing, but we're going to try.
Rupesh Parikh: Okay. Great. Thank you. I'll pass it along.
Operator: Our next question comes from Bill Chappell with Truist Securities. Please go ahead.
Bill Chappell: Thanks. Good afternoon and congratulations as well. Two questions. First, just maybe help us on the bridge of EBITDA for last year to 2024 with the services' shutdown, and I thought it was $5 million to $6 million in savings. Didn't know what you saw in the fourth quarter because it sounds like there was actually, I guess, a negative hit to gross margin from that. What you're expecting that to add to gross margin this year? And then from that standpoint, like, how are we factoring in how you're reinvesting all of that if you are reinvesting all of that upside?
McCord Christensen: All right. Thanks, Bill. Appreciate it. Good to hear your voice. Look, we've been consistently saying that we're going to step up our AMP investment. We've had to grow into our advertising investments and pay them ourselves along the way. And $6 million that we are going to be saving from the operating losses that we had from those stores we closed is going to be funding half of that $12 million increase. The other $6 million we're going to fund out of operations. But that is $12 million that if we weren't continuing to push and drive our awareness and our brands and the return we're getting on that, that $12 million would have been available to take to the bottom line and increase our EBITDA from a company perspective. We were very efficient and worked very quickly to get the stores closed and the expenses associated with that did have an impact on the end-of-the-year margin, and we've talked about that as well. As it relates to 2024, we should be back to kind of a normal state with our services organization and be kind of at a good place. I think going it would be any kind of a negative drag would be -- we're really starting to push forward more community clinics. And anytime we open a new community clinic store, there is a maturing process takes place. But like I said, all that's been conservatively considered, and as part of our guide going to next year, and as Zvi said, right now, we believe we're on track to have 50 basis points of margin expansion or more. And the only good change that we believe is that the distribution portfolio outperformed during 2024. Zvi, anything else I miss there?
Zvi Glasman: The only thing I would add is we did not add back the costs of the inefficiency of running the wellness centers that we announced would close in Q4. And so that dragged our growth -- our 2024 Q4 margins down about $1 million -- $1.2 million and had an impact of services margins. Services margin in Q4 would have been closer to 8%. So that's a little bit of noise that we have in the Q4. And if we look at our performance year-over-year, full year, '24 versus '23, if you exclude that $1.2 million, we'd be up about 50 basis points on an adjusted basis, year-over-year for growth. I'm sorry, '23 versus '22. My bad.
Bill Chappell: Got it. I think I understood -- understand the cushion per se. Switching just to your own company-owned products and the success this past year, how much of that of that do you think is consumer trade down? (ph) We've certainly heard some [Technical Difficulty] more super premium product products within pet. How much of that is do you think is just expanded distribution and availability such as Rocco & Roxie and other on the supplement side? Any way to kind of characterize how that is and whether you expect that to continue going into 2024?
McCord Christensen: Michael, do you want to take that one?
Michael Smith: Yeah. Hey, Bill. It's Michael. I think that there's two components, right? We're competing in very healthy categories. That is helping us. flea and tick had an unusually healthy year based upon some of the seasonal profile. But the more organic fundamental health of the categories like supplements and dental treats, we do think are sustaining and maintaining into 2024 and beyond. And if you look at how we've positioned ourselves in those categories, yes, we have historically had more of a value tilt to our portfolio and we are benefiting from new consumers coming into the category, primarily there is some trade down. But those brands presence in the marketplace continues to evolve. And the biggest growth driver for us is really getting our ACV right, continuing to take brands that had a legacy of being in a single channel, being very productive and successful in those channels, and expanding them into some of our retail partners beyond kind of where they grew up. And I would say we're still in the relatively early innings of that journey. And in 2024, a pretty healthy step changed for us in getting some of those brands broader exposure in the marketplace. That will be part of driving growth and continue to take share moving forward.
Bill Chappell: And just to follow up, do you think that happens with the spring resets? We'll see this in the next couple of months in terms of expanded ACV?
Michael Smith: Yeah. For the health and wellness category, we'll see most of our major retail partners turning over those sets in the next four weeks to six weeks. The treats category plays out a little bit later in the year, more towards the back end of Q2, and we'll see some of those changes benefit us more in the back half of this year.
Bill Chappell: Great. Thanks to color.
Operator: Our next question comes from Kaumil Gajrawala with Jefferies. Please go ahead.
Kaumil Gajrawala: Hey, guys. Good afternoon. Good evening. Whatever it might be. Just a quick point of clarification. The 50 basis points of margin upside, I think you -- is that means expansion for '24 on gross margin. Is that what you had said earlier, Zvi?
Zvi Glasman: Correct.
Kaumil Gajrawala: Okay. Just clarifying that. And then maybe just thinking about marketing, how are you thinking about the right amount? You obviously have quite a bit of growth that's worked over the course of '23. Is this the right level? Does it make sense to, if you have, the brands have heat, the brands have traction, that now is the time to maybe overspend a bit to kind of keep it going or set itself to a higher level? Just maybe just giving us some context on how you're thinking about what the right figure is.
McCord Christensen: Yeah. I think, Kaumil, we don't know that we found the ceiling yet. We're seeing the return on the investment we're making. It's working. We're going to continue to invest. The good news is the commitments are 30 days to 60 days. And so if we feel like we've hit a ceiling, it's time to pull back, we will. But we've, like -- we've been growing into that budget and what we could spend and afford to spend over the last couple of years. This is another significant step up as we've seen, it's working. When we see the ceiling, we'll pull back. And until we do that, we see the right level of return and acceleration that we're going to continue. But we haven't been a company that just went out there and spent a ton of advertising dollars and hoped it would work. We had to kind of grow into it, keep it balanced on all aspects of our P&L and our ratios. And I think we've been very responsible about it. And this next step up, we feel great about it because of how it works this year and we haven't yet seen what the right level is from a standpoint of pulling back or pumping the brakes. So I think we're continuing to balance the P&L and what we need to do as a company and the next step up is going to be, we think, very valuable to continuing to accelerate the brand's performance and protect the company and frankly just increases the depth and width of our moat.
Kaumil Gajrawala: Okay. Great. That's useful. Thank you.
Operator: [Operator Instructions] Our next question comes from Jon Andersen with William Blair. Please go ahead.
Jon Andersen: Good afternoon. Thanks for the question. Most have been asked. I guess one question I have is focusing a little bit more on the Services business. Could you give us an update on where things stand with Services? There are kind of three things in my head. We've got the community clinic business, which seems like it's operating well, but if you could kind of give us an update on staffing levels and cancellation rates and how you're moving ahead there in '24. And then we have the remaining wellness centers. Are you at kind of a status quo there now or good base level? And what are the plans for those in terms of converting them potentially to a broader service offering? And then you mentioned a partner who you had piloted, I think, a program in one of their large stores, how is that going and do you expect more positive news on that front, perhaps with respect to further rollout there in 2024? Thanks.
McCord Christensen: Thanks for the question, Jon. Good to hear your voice. The community clinic business is a bright spot for the company. We have the ability to schedule labor when the demand is right from a pet count perspective, and we pay that labor better than anybody in the country from a rate standpoint. So we really are seeing the cancellation rates balance out and do well. We are starting to lean in to increase the number of clinics that we're running. It's part of our plans for 2024. It's also part of the way we're recovering the lost revenue that we got from closing the wellness centers that were unproductive and why we expect that business to be up a little or flattish versus negative from the closures. The wellness center model, we have challenges because of the labor model, and we really need to lean into a model that uses kind of a community clinic model where we can have the vet labor there when it needs to be there and not have it overstaffed when it's not. And our tests of adding hygiene services that allow that to happen are still going. We think we're probably -- the end of Q3 to really kind of finish up our testing and decide what our expansion plans look like. The wellness centers that were left, as we've said in past quarters, have the ability to be converted or they're already growing and working and have the right labor balance in those markets. And so that's where we currently sit with our wellness center plan. But we're not out there building more stores until we kind of work through this last phase of the hygiene model. And our growth is really coming from that expansion on the community clinic business. Obviously, we did talk about last quarter, we had a significant new opening with one of our largest retail partners. It went extremely well. It was a gorgeous facility, the best we've put out there in the market. It is branded that retail partners brand and we operate it for them. We built it out, we furnished it with everything. It is doing better than what we thought it was going to be doing from a production and pet count perspective. And so they're happy, we're happy. And I think we're close to announcing that we would open more locations. We're not there yet, but we're close.
Jon Andersen: Okay. That's helpful. Just one more on the sales growth guidance for '24. Understand it it's kind of accounting for the headwinds that you quantified. It's kind of a 10% growth year inclusive of the headwinds mid-single digit. Can you help us just think through the breakdown there, Product versus Services, and what you're expecting? And one of the reasons I'm asking is just given the service center closures that creates more noise than they make usual. So if there's any color around that segment-level growth expectations, that'd be helpful. Thank you.
McCord Christensen: Thanks, Jon. Look, I think we are -- into a year (ph) where we're doing exactly what we normally do, where our manufacturer brands are going to be in the low double digits and we feel great about that. And if the weather comes through, it'll be significantly better than those numbers that are in the plans. The distributor brands were still in the same kind of mid-single digit step of growth rates and we think that's conservative in the right place to be based on what we're seeing. Services is flattish because of the closures if you're looking on a year-over-year basis. But again, we think the right way to really measure our success is to take into account the $52 million we talked about and we're up 10% top line, 15% bottom line, which is in line with what we think this business should be growing for the long term.
Jon Andersen: Right. And you're taking the savings from the closures and reinvesting it in higher ROI opportunities.
McCord Christensen: That's where we're getting some additional momentum out of that and the rally, like we said before, I mean, we're putting $12 million more into AMP, that we're self-funding out of the business. That $12 million we had the option to take the bottom line and all of a sudden 111 midpoint is going to be 123. So we're doing the right things for the long term. We're investing in the business for long term. We're clearly getting better and better all the time. And look, we've had four quarters in a row this year that I think the numbers and execution speak for themselves.
Jon Andersen: Makes sense. Thank you very much.
McCord Christensen: Thanks, Jon.
Operator: Our next question comes from Ryan Meyers with Lake Street. Please go ahead.
Ryan Meyers: Hey, guys. Thanks for taking my question. Just thinking about the marketing investments, just wondering if you can speak to that a little bit and maybe how you've seen some of that pay off or flow through the model, and then maybe how much of these marketing investments are baked into the revenue guidance.
McCord Christensen: Thanks, Ryan. Look, I think that's -- you're a pet person. You have your dog barking in the background, right? Look, all of our projections bake into everything that we're spending into the business. Obviously, we want to be conservative when we test a few things that are new in the programs. And so I think we've been, as usual, reasonable as we've done all year, and that's why we've given the ranges all year on how we thought we'd perform. And I think everyone's seen how our investments from a conservative have ended up allowing us to be better than the midpoint consistently. So I don't know if there's anything else, Mike or Zvi, you want to add, but I think that's all been captured in our current revenue projections.
Michael Smith: Yeah. You make marketing investments in a lot of different parts of what we call the marketing funnel, right? Some of them are more near-term impactful, some of them are more long-term impactful, and we've got a healthy mix of investments in 2024 that will influence both. So, yes, it's factored into our guidance, but much of those investments are, by design, intended to pay out in more than a one-quarter, one-year point of view.
Ryan Meyers: Got it. Thanks for taking my question.
Operator: [Operator Instructions] Our next question comes from John Lawrence with Benchmark. Please go ahead.
John Lawrence: Yeah. Good afternoon. Congrats, Cord. I think, Cord, when you look at the business and where you've come from over the last couple of years, all the changes and better profitability, you've paid down the debt, as you look out a couple of years, we've always talked about this -- the base business, manufactured brands and the R&R. As you look forward and this debt continues to come down, what does that capacity look like facility wise as far as folding something else in or extensions, etc., to widen the portfolio?
McCord Christensen: That's a good question, John. And like, we've talked about it a lot, and we've been very vocal about it. We've been very disciplined as it relates to the acquisitions we've made and the value that we've paid, and the upside that we saw in those acquisitions to go out and execute and create significant synergy value for us and our shareholders. We continue to look at lots of different assets out there that we think fit our criteria, that fit our area of expertise, that we think we can do similar things with. And if they don't match, they don't fit, we move on. And I think whether it's two years from now and how we paid on debt or along the way, when you buy a Rocco & Roxie that you pay 8.5 times for and you can add substantial new items, you can add substantial distribution, you can execute better, you can take costs out, those acquisitions become very affordable and frankly, aren't something we need to consider what's going to happen in the future. We can do those type of deals and so we're looking at those. But PetIQ is a pet health and wellness company. We're very focused on hitting the bullseye with the brands, the products, the deals that we do because it's where we can guarantee execution. And we're going to continue to be disciplined at doing that. I think in our three-year to five-year plan, we'd like to do another three to five deals similar to the Rocco & Roxie type deal, but that's going to be dependent on our values and on the valuations and what we know we can execute against. So I think we're going to continue to demonstrate responsible use of cash and responsible execution, and the company can execute like we did this year without making acquisitions and continue to grow and do really well. But we love when we find a Rocco & Roxie type brand that we can go out and just do really fun great things with and make them into just a better platform with a more significant foundation to grow from. So I think that's kind of who we are and our culture.
John Lawrence: Great. Thanks. Good luck.
Operator: Our next question comes from Kaumil Gajrawala with Jefferies. Please go ahead. The line may be muted for your question.
Kaumil Gajrawala: Sorry about that. On mute. At some point, I'll figure it out. I was following up on M&A and in terms of the environment. So you laid out your philosophy on approaching M&A, but given some of -- there's been some subsegments within pet that have weakened in recent months, has that changed what the -- maybe the asking prices are for some of the things you're looking at?
McCord Christensen: I don't know that we've looked at the macro market and how we looked at M&A. We're very focused on the assets that make sense for us. And we've had assets that don't make sense because they still are looking for multiples that we think are unrealistic and definitely don't fit our company. And we have other deals, we've looked at that once we get into them. Just the assets themselves are not as clean as they should be. And so I would say we're not really out there pushing like you're thinking. But look, the macro environment is good in our categories. We've obviously demonstrated that pet health is really strong and growing. There's a lot of anticipation that it's going to be a significant growth category for a long time. And we're positioned extremely well as it relates to pet health and wellness and retail with very little competition that's going to be available to do those deals. So that's where we are today, Kaumil. And I wouldn't say that we're going to change that kind of environment. And it seems like we're looking at something all the time, but we pull the trigger and actually close very, very seldom.
Kaumil Gajrawala: Great. Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Cord Christensen for any closing remarks.
McCord Christensen: Thank you, everybody, for joining today. We really appreciate all your support. Obviously, thank you to the PetIQ team and all the hard work that went into delivering such an amazing 2023 and setting us up for an amazing 2024. We, as usual, are taking a conservative approach to the company's performance and outlook, but are very excited about 2024 and beyond as PetIQ continues to gain momentum, further distance itself from its competition, and continues to execute at the level we execute. So we look forward to reporting and talking to you again in a couple of months and look forward to interact with any of you over the next few days that I would like to have interaction with who doesn't have questions. So thank you, everyone. Take care.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.